Ana Bartesaghi: Good morning, everyone. Welcome to the Grupo Supervielle Third Quarter 2022 Earnings Call. This is Ana Bartesaghi, Treasurer and IRO. A slide presentation will accompany today's webinar, which is available in Investors section of Grupo Supervielle's Investor Relations website. Today's conference call is being recorded. [Operator Instructions] Speaking during today's call will be Patricio Supervielle, our Chairman and CEO; and Mariano Biglia, our Chief Financial Officer. Also joining us is Alejandro Stengel, First Vice-Chairman of the Board and CEO of Banco Supervielle. All will be available for the Q&A session. As a reminder, today's call will contain certain forward-looking statements based on management's current expectations and beliefs and subject to several risks and uncertainties. I refer you to the forward-looking statements section of our earnings release and recent filings with the SEC. We assume no obligation to update or revise any forward-looking statements to reflect new or changed events or circumstances. Patricio Supervielle, our Chairman and CEO, will start the call discussing our key transformation initiatives and our past profitability. Afterwards, Mariano Biglia, our CFO, will take a deeper look at our performance and near-term perspectives. This will be followed by a Q&A session. Patricio, please go ahead.
Patricio Supervielle: Thank you, Ana. Good morning, everyone. Thank you for joining us today. Please turn to Slide 3 on our earnings presentation. We continue to execute on the key strategic pillars of our strategy designed to improve return on equity, while operating in an increasingly adverse macroeconomic environment with loan demand at all-time lows. Inflation hit its highest level in decades, landing 22% in the third quarter, while interest rates hiked 23 percentage points. In this context, we are moving ahead with the rightsizing of the business and the ongoing transformation of our branch network, driving efficiencies, while enhancing the customer experience. Integrating our consumer finance, customer base and back office into Banco Supervielle is on track, and we expect to complete this process in the fourth quarter of the year, along with seizing the majority of IUDU's operational efficiencies, we're offering this client segment a seamless omnichannel experience through which they can access the bank, broad assortment of financial products and services. We also gained traction in transforming our branch network, driving increased productivity. We entirely transferred our financial agent business, including 18 low-performing branches that service the government of the Province of San Luis while continue to serve a strong private client franchise in this region through a combination of five branches and virtual hubs. Seeking additional operational leverage, this month, we filed a request with the regulator to close another 14 branches, reaching a total of 28. We expect to finalize the merger of these branches during the first quarter of next year. We continue to prioritize customer acquisition and cross-sell to gain share of the target [de Narvaez] and I will provide an update on this shortly. Improving asset quality and funding are two key pillars of our strategy, where we are also advancing despite the challenging context. With accelerating inflation and high market interest rates - while accelerating inflation and high market interest rates are weighing heavily on industry loan demand, a prudent approach to asset quality has allowed us to maintain stable low NPLs net cost of risk dropping to a low of 2.8%. Mariano will discuss our financial performance in greater detail shortly, but overall profitability remain mainly impacted by weak loan demand, regulatory minimum interest rates rule by the Central Bank and a lag in the repricing of our Argentine peso loans. And while we reported a consolidated net loss for the quarter, our bank subsidiary on a stand-alone basis reported a 2.6% return on average equity in real terms, improving sequentially. We finalized the quarter with a Tier 1 capital ratio of 14.2%. On capital basis, inflation hedge can offer enough liquidity to weather the current macro challenges, and we'll wait for more favorable economic and market circumstances. Now please turn to Page 4. We have established a clear path to profitability towards the close of the second Q of 2023. Let me review the structural drivers underlying our pathway. First, the consumer finance business has been a dragging factor in our operations. Transferring IUDU customers and back office to the bank will be a major source of efficiency in a sector that has suffered the most from the economic crisis and worsening macro. With inflation expected to remain at high levels next year, this initiative will allow us to serve this segment more efficiently. Second, 47 branches, including 14 in process have been consolidated and rightsized. Moreover, headcount has been reduced by 23% from 2020 levels. This includes an 88% reduction in head count at IUDU and 10% at the bank. Following the transfer of the financial agent business related to the properties of San Luis, we are keeping a solid relationship with the private sector in this province, both corporates and individuals through a more efficient model. These initiatives will allow us to drive us profitability, adding a positive return on equity towards the end of the second quarter of 2023. Beyond this, we remain focused on driving revenue growth. We've added 100,000 new retail customers year-on-year, up 7%, and we are also encouraged by the growing number of digitally onboarded clients, up 2.7 times from September last year. Digital customers rose to 52% of total clients, up from 34% a year ago. Corporate and SME customers in turn posted a strong 11% year-on-year increase with the addition of 3,300 clients. As market conditions begin to improve, we expect to deliver loan growth and customer acquisition with a more efficient structure driving sustainable profitability. With this, let me turn the call to Mariano. Please, Mariano, go ahead.
Mariano Biglia: Thank you, Patricio, and good day, everyone. Please turn to Slide 5. We reported a net loss of ARS560 million, a reduction from the ARS2.1 billion loss in the second quarter. The main line items and drivers contributing to the sequential improvement included. First, 7% increasing net financial income, equivalent to ARS1.7 billion, mainly reflecting higher market trade. Second, a decline of 11% in personnel expenses or ARS1.3 billion as increases wages were ramping up to anticipate accelerated inflation in the quarter, reducing salaries in real terms. Efficiencies per headcount reductions, as Patricio discussed, also contributed to lower costs. And third, a 34% drop in loan loss provisions equal to ARS1.2 billion that mainly reflected on the asset quality. These benefits were partially offset by a sequential increase in income tax of ARS1.6 billion, reflecting a higher taxable income based at subsidiaries and higher inflation negatively impacting IUDU's tax loss carry forward. Turning to Slide 6. Total loans for the quarter increased below inflation, reflecting the impact of accelerated inflation and the consequent weak credit demand across segments. Our overall loan performance was in line with the industry trend when excluding the financial agent business that serves the government of the Province of San Luis. Notably, total loans at IUDU contracted 16% sequentially as we continued to slow down originations in an increasingly inflationary context, resulting nearly a percentage point sequential decline in the weighting of consumer loans over our total loan book. Moving on to funding on Slide 7. Total Argentine peso deposits in real terms declined in the high teens sequentially as we manage liquidity, reducing institutional funding. In addition, core deposits were seasonally lower, while it was impacted by the transfer of the financial agent business in the service. Average peso deposits were down nearly 9% quarter-on-quarter, while average peso core deposits were down 3.8%. Year-on-year, we gained market share inside deposits, reflecting our sustained focus on strengthening our low-cost funding base, a key pillar of our strategy. As shown on Slide 8, net financial income increased over 7% quarter-on-quarter to ARS24.6 billion. In turn, total net interest margin was up 320 basis points sequentially to 22%. NIM expansion was mainly driven by higher interest rates and lower volumes of Leliqs. It is more than offset a 920 basis points increase in peso cost of funds, driven by regulatory minimum interest rates rules by the Central Bank and the lack in the repricing of peso loans combined with a low single-digit decline in average volume for weak credit demand. Moving on to Page 9. Our focus on protecting asset quality by increasingly itemizing exposure and reducing our risk appetite, allowed us to report a total NPL ratio of 3.7% sequentially stable. Total net loan loss provisions were down 55% quarter-on-quarter with a net cost of risk dropping to a low of 2.8%. In addition to healthy asset quality, lower cost of risk reflects a release in provisions following the transfer of loans granted under the financial agency agreement with the Province of San Luis. We also contracted a new credit rated insurance policy which contributed to reducing provisions for our senior citizens goal. In the context of accelerated inflation, we also lowered loan origination at IUDU and began to transfer customers and loans to the bank. The total coverage ratio stood at nearly 142%, stable against the restated ratio for second quarter '22. We're considering the adoption of expected credit loss accounting at IUDU. I will explain this in more detail shortly. Finally, at the bank, the NPL ratio stood at 2.7%, while IUDU consumer loans posted a 190 basis points decline in the NPL ratio down to 15.4%, driven by a reduction in its non-performing loan portfolio of around in the high-20s. Now please turn to Slide 10. Together with the transferring IUDU customers and loans to the bank, this quarter, we also adopted the IFRS 9 impairment model at IUDU, which requires loan loss reserves to be recognized based on expected loss models for financial instruments. As a result, IUDU loans have the same loan loss reserve when they migrate to the bank and do not produce loan loss provisions related to the change in accounting standard. Expected credit losses accounting was adopted retrospectively to January 1, 2021, to the IUDU loan book, allocating results to the quarter where the loans were reduced, thus allowing the comparison of results and balances at different dates with the same accounting standard. As a result, reported figures and ratios for four quarters of 2021, full year 2021, the first and second quarters of this year have been restated. Under the expected credit loss model, loan loss reserves increased by ARS3 billion, where the coverage ratio rose 34 percentage points to 142%. Shareholders equity decreased by ARS3 billion. But importantly, Tier 1 capital was not affected as under IFRS 9 loan-loss reserves, which exceed minimum central bank reserves are added back to Tier 1 capital. The restated net loss for the first half of 2022 improved over by ARS460 million compared to the reported net loss before adopting IFRS 9 at IUDU. Slightly higher loan loss provisions were more than offset by a lower inflation adjustment loss as higher loan loss reserves at the beginning of the year reduced the net monetary position. Now turning to Page 11. The efficiency ratio improved to just over 73% this quarter, down 180 basis points year-on-year and 8 percentage points sequentially. The sequential improvement was mainly driven by a 6% increase in revenues, as the prior quarter has been negatively impacted by a sharp drop in the prices of our government security holdings. Expenses in turn declined nearly 5% in the period. Moreover, when excluding severance and early retirement charges in both quarters, resulting from the implementation of our transformation and efficiency programs at the bank and IUDU, the efficiency ratio will have declined to 67.8% this quarter from 75.8% in the second quarter this year. This improvement in efficiency reflects a 12% sequential drop in comparable personnel expenses, driven by a 7% decline in headcount. Together, the benefit from union salary increases that lagged inflation contributed to lower cost in real terms. It is the opposite effects we experienced in the second quarter when salary increases and anticipating inflation, increasing cost in real terms. This was partially offset by increased administrative expenses related to customer acquisition costs and the ongoing execution of projects supporting our digital transformation. As I noted earlier, starting this quarter, cost also includes a new life insurance policy contracted by the bank to cover risks within the senior citizen segment, which contributes to the lower loan loss provisions for this segment. On Slide 12, we share our views of the main drivers of our business for the full year and introduce our perspectives for 2023. In terms of deposits, we now expect to end 2022 with levels below inflation. Before we were expecting to grow in line with inflation. During 2023, we expect to see a pickup in deposits growth, expanding above inflation as we continue to grow our customer base and gain additional share in checking accounts. Finally, the Tier 1 ratio is expected to remain at adequate levels, ranging between 12.5% and 13.5% by year-end 2022 and 2023. This is a 50 bps increase in both the high-and-low end of the range. Recall that 100% of our capital remains hedged against inflation. Beyond these, 2022 expectations for all metrics remain unchanged from our prior quarter views. And let me recap on that and elaborate our views for next year. Starting with loans. In this challenging context, continue to expect our loan book to grow below inflation in 2022. For 2023, we see loans growing in line with inflation. Note that for 2023, market consensus calls for annual inflation of 96% as per the Central Bank Survey published this month. With respect to asset quality, we continue to anticipate cost of risk for the year at similar levels to those reported year-to-date. With the MDL range relatively unchanged as loan growth has slowed versus last year. Continuing our focus for asset quality, we also expect loan loss provisions and net cost of risk for 2023 to remain stable. NIM for 2022 and 2023 is expected to remain in line with the level reported for the first nine months of the year. We also expect net financial income to increase in real terms in 2023. Our views regarding fee income remain unchanged, with the bulk of bank fees from individuals are anticipated to reprice in line with inflation. When insurance income is expected to increase in real terms as premiums recover from the shortfall of 2020 and 2021. We also maintain our expectations of operating expenses with costs increasing slightly above inflation, reflecting additional costs from the implementation of our digital transformation strategy, continued head count efficiencies and customer acquisition costs. In addition, IT investments related to digital transformation are expected to grow below inflation. Slide 13. Before opening for Q&A, please turn to Slide 13 to take a deeper look at our cost cutting initiatives driving improved operating efficiency. As shown on this slide, in 2023, we expect to achieve savings totaling ARS5.3 billion derived from the main cost reduction initiatives under implementation over the past two years. This includes anticipated savings of ARS3.7 billion from the transfer of the IUDU loan book and client base to the bank, which also includes the reduction in headcounts during 2022, ARS1 billion, reflecting headcount reduction at the bank over the past two years, including the closure of 28 bank branches that are being - that being merged are anticipated to result in savings of ARS1 billion and ARS0.6 billion from the transfer of the financial agent operations with the Province of San Luis. Note figures are stated in pesos based on purchasing power as of December 2022. Now we are ready to open the floor for questions. Ana, please go ahead.
A - Ana Bartesaghi: Thank you, Mariano. [Operator Instructions] Our first question comes from [indiscernible], Atlantic Securities.
Unidentified Analyst: Hi, thank you for taking my question. I have a concise yet hard to answer question. So what would it take for Grupo Supervielle to turn around its operation? What's in your hands? And what depends on more favorable macro conditions? Thank you.
Patricio Supervielle: Do you want to take, Mariano?
Mariano Biglia: Yes. Hello, Rodrigo. Thank you for your question. Let me answer regarding for us to turn around our profit for next year. As Patricio discussed during the presentation, we have a profitability based on the first cost savings initiatives, which is part of what we have handled. And in fact, we have been deploying these initiatives during 2022, the main being the transfer of an integration of IUDU customers and operations with the bank, which allow us to have cost savings of ARS3.7 billion extending into 2022 currency. Then the transfer of the agreement with the Province of San Luis of efficiencies as we are reducing 18 branches that existed already relating to this financial agent agreements. We are maintaining the branches in San Luis that operate with the private sector customers, both companies and individuals in the main locations and main cities of the province. So we are keeping - maintaining the presence in the province in much more efficient way. And then also there are cost reductions which are already - have already been taking place at the bank level, also at invertironline with a bank decreasing the headcount in 10% over the last two years. So these initiatives are under our control and are being implemented and will allow us to have a very significant reduction in costs for next year. Then on the revenue side, we've been working in our digital transformation strategy, which has allowed us to increase our customer base by 100,000 individual customers this year. Most of these customers are being onboarded digitally. So that is also a source of efficiency. And we will also see for next year, a growth in our loan portfolio in line with its - inflation as opposed to this year, where we've seen growth below inflation. So those are the main initiatives that will allow us to increase profitability. And of course, then there are risks mainly related to the macroeconomic environment and the regulatory environment, which are not under our control. Those risks, that's the main one, I think, is the inflation, a more accelerated inflation than what we expect now is clearly punitive for our business and for our costs. And then the regulation, which has been also very punitive in this context, with the main regulation affecting our margins and results being related to interest rate caps and flows. So that will be the main drivers. In our path to profitability, the main drivers are the ones that we can control. It's not only because we expect a very macro environment.
Unidentified Analyst: That was really helpful. Thank you.
Ana Bartesaghi: Okay. Thank you, Rodrigo. We have a question in the Q&A box from Alejandra Aranda, Itau. It's related to this one, but I think it has marked more color on IUDU. Hi, Patricio, I would like to have more color on the process of integration of IUDU. Could you tell us where we are, what's going to be carried on in the next quarters? And can you walk us through how we should think of efficiencies starting to show on the P&L to show positive return on equity on 2023? What are the other implicit premises behind this, meaning inflation, union agreement, headcount, loan and deposit growth, exposure to government paper rates, GDP, etc., that I'm sure was asked?
Patricio Supervielle: Let me add to what Mariano said, with the acceleration of inflation in 2022. We made a shift in strategy, a very really radical shift in strategy because we had two platforms, the digital platforms to capture clients. That was the idea. First, the platform, of course, of the main engine, Banco Supervielle, but the idea also was to have a platform at IUDU independent to attend the consumer finance operations. And we decided to have only one platform. So this we will operate with only one platform, and this is much more efficient. With the macro outlook, which continues to have high inflation, although these consumer segments that we transferred to Banco Supervielle, we hope to basically to provide them with a much wider array of some financial services that they had originally at IUDU, and hopefully to through cross-selling get better results with an integration with - and commercial synergies with these clients. Notwithstanding with high inflation and such high inflation, we decided also that origination standards at the bank are much stricter, because inflation is not going down. In fact, it's going up. So basically, we have much stricter origination standards at this point with the consumer finance sector. So we're reflecting a very low appetite to take risk at this time. I don't know if you want to add something.
Mariano Biglia: Not very much, maybe related to what Alejandra was asking as to where we are or what part of the process of integration we are. We are actually moving quickly and moving the portfolio of loans and credit cards by batches. And we - I would say we are roughly around 100,000 clients that have already been transferred to the bank. And we expect to complete this process, if there are no delays by the middle of December, maybe a little bit earlier. So we're moving very well and as expected and on target in that process.
Patricio Supervielle: And also, I'd like to say that the contract with Dorinka is being continued by Banco Supervielle. That's another important part that I want to stress.
Ana Bartesaghi: Okay. I have one more from Alejandra Aranda as well. Thinking ahead, how do you imagine the Argentina system and consolidation taking place given the situation that some players are facing?
Patricio Supervielle: Well, I think that basically, we are in a - I think historically, the ratio of loans to the GDP has been in the lowest, at least in the last 20 years. So when there is - according to past history, when there was a change in expectation. There was a very rapid or drastic change in the behavior of business actions and business community. So this rapid and radical change will mean that there will be - will hopefully, with the change of - with the new government that are starts to deregulate and tackle inflation, it will mean that there will be much more demand and normalization - much more demand of loans and the monetization of the banking business. And this will be very positive for us. We are well prepared - we've been preparing for that in the - with our digital transformation, with our driving further operating efficiencies with the consolidation of branches that we mentioned and the efficiencies we captured in personnel. So we have a solid - we believe we have sufficient capital to attend growth in demand of loans, so I think that the consolidation - looking forward, there will be a consolidation, but this consolidation first will be in terms of growing of this demand of loans by individuals and corporations. So it would be what I would say, an organic consolidation. So we are very well placed to play in this consolidation.
Ana Bartesaghi: Okay. Well, we'll wait for - when we point for new questions just a second. Okay. Ladies and gentlemen, we have reached the end of today's Q&A session. Thank you for joining us today. We appreciate your interest in our company. We look forward to meeting more of you over the coming months and providing financial and business updates next quarter. In the interim, we remain available to answer any questions that you may have. Have a good day.